Operator: Good day, and thank you for standing by. Welcome to the Innospec's First Quarter 2024 Earnings Release and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. 
 I would now like to hand the conference over to your first speaker today, David Jones, General Counsel and Chief Compliance Officer. Please go ahead. 
David Jones: Thank you. Welcome to Innospec's First Quarter Earnings Call. The earnings release for the quarter and this presentation are posted on the company's website. During this call, we will make forward-looking statements, which are predictions and other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by such forward-looking statements. The risks and uncertainties are detailed in Innospec's 10-K, 10-Qs and other filings with SEC. Please see the SEC site and Innospec's site for these and related documents.
 In our discussions today, we've also included non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measure is contained in the earnings release. The non-GAAP financial measures should not be considered as a substitute for or superior to those prepared in accordance with GAAP. They are included as additional items to aid investor understanding of the company's performance in addition to the impact of these items and events had on financial results. 
 With me today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. 
 And with that, I'll turn it over to you, Patrick. 
Patrick Williams: Thank you, David, and welcome, everyone, to Innospec's First Quarter 2024 Conference Call. I am pleased to report a strong start to 2024. Excellent performance across all our businesses drove double-digit operating income growth and margin improvement. Performance Chemicals delivered on our target for sequential improvement as operating income more than doubled over last year. While customers remain disciplined in their order patterns, volumes have improved in our key end markets. Supported by our strong organic growth and technology pipeline, we are cautiously optimistic that we can maintain this improvement in 2024. 
 In addition, our recent QGP acquisition is performing in line with expectations as was immediately accretive. Our focus remains on continued progress returning operating income run rates and margins to levels consistent with full year of 2022. Fuel Specialties achieved another steady set of results. Gross and operating margins improved over the prior year and were within our targeted range. Our team has continued to build a strong pipeline of regional product and market growth opportunities in both fuel and nonfuel applications. Oilfield Services achieved operating income growth and margin expansion over the prior year. Softer production chemicals activity in the quarter was more than offset by further improvement in our other segments. 
 In the second quarter, we expect significant headwinds in production chemicals activity. And consequently, operating income will be substantially lower than previous quarters. We are cautiously optimistic that operating income run rates will return to our targeted $15 million to $20 million per quarter range in the second half of the year. 
 Now I will turn the call over to Ian Cleminson, who will review our financial results in more detail. Then I will return with some concluding comments. After that, Ian and I will take your questions. Ian? 
Ian Cleminson: Thanks, Patrick, and good morning, everyone. Turning to Slide 7 in the presentation. The company's total revenues for the first quarter were $500.2 million, a 2% decrease from $509.6 million a year ago. Overall gross margin increased by 2.1 percentage points from last year to 31.1%. Adjusted EBITDA for the quarter was $64 million compared to $52.7 million last year and net income for the quarter was $41.4 million compared to $33.2 million a year ago. 
 Our GAAP earnings per share were $1.65, and including special items, the net effect of which decreased our first quarter earnings by $0.10 per share. A year ago, we reported GAAP earnings per share of $1.33, which included a negative impact from special items of $0.05 per share. Excluding special items in both years, our adjusted EPS for the quarter was $1.75 compared to $1.38 a year ago. 
 Turning to Slide 8. Revenues in Performance Chemicals for the first quarter were $160.8 million, up 6% from last year's $151.4 million. Growth attributable to the QGP acquisition of 6%, volume growth of 13% and positive currency impact of 1% were offset by an adverse price mix of 14% due mainly to lower raw material costs flowing through to selling prices. Gross margins of 23.4% increased 7.5 percentage points compared to 15.9% in the same quarter in 2023, benefiting from increased sales and production volumes. Operating income of $21.1 million approximately doubled on last year. 
 Moving on to Slide 9. Revenues in Fuel Specialties for the first quarter were $176.9 million, down 7% from $190.3 million reported a year ago, an adverse price/mix of 6% and a 2% reduction in volumes were partially offset by a positive currency impact of 1%. Gross margins of 34.3% were 4.1 percentage points above the same quarter last year. Operating income of $33.4 million was up 3% from $32.4 million a year ago. Adjusting for the $7.4 million inventory write-off in Brazil in the prior year gross margins were 34.1%, and operating income was 39.8%. The decrease in adjusted operating income year-on-year was mostly due to the timing of sales in our avgas business. 
 Moving on to Slide 10. Revenues in Oilfield Services for the quarter were $162.5 million, down 3% from $167.9 million in the first quarter last year. Gross margins of 35.3% decreased 4.2 percentage points from last year's 39.5% on a weaker sales mix. Operating income of $16.9 million increased 6% from $15.9 million 1 year ago. In the second quarter, we expect operating income to be significantly lower due to a slowdown in our production chemicals business. We expect operating income will be in the $7 million to $10 million range. However, we are cautiously optimistic that operating income run rates will return to our $15 million to $20 million per quarter range in the second half of this year. 
 Turning to Slide 11. Corporate costs for the quarter were $20.2 million compared with $17.7 million a year ago, due mainly to the growth and timing of IT expenditure and higher performance-related remuneration. The effective tax rate for the quarter was 25.1% compared to 26.2% a year ago. 
 Moving on to Slide 12. Free cash generation for the quarter was excellent with an operating cash inflow of $80.6 million before capital expenditures of $14.3 million. As of March 31, Innospec have $270.1 million in cash and cash equivalents and no debt. 
 And now I'll turn it back over to Patrick for some final comments. 
Patrick Williams: Thanks, Ian. I am very pleased with the strong performance of all our businesses delivered in the quarter, including the new acquisition. In partnership with our customers, we remain well placed for growth through technical innovation and excellent customer service over the medium to long term. This quarter, our Board approved a further 10% increase in our semiannual dividend to $0.76 per share. With net cash of over $270 million, we continue to deliver on our record of returning value to shareholders while maintaining flexibility for M&A, dividend growth, organic investment and buybacks. 
 Now I'll turn the call over to the operator, Ian and I will take your questions. 
Operator: [Operator Instructions] And your first question comes from the line of Mike Harrison, Seaport Research Partners. 
Michael Harrison: Congrats on a strong start to the year. I was hoping that you could provide a little bit of additional detail on what you're seeing in that Performance Chemicals business. You mentioned that some customers are remaining disciplined in their orders? Just curious, does that mean there's still some lingering destocking effects going on in some product lines. Maybe help us understand what you've been seeing in terms of order patterns and trends as you look at kind of that February, into March, into April time frame? 
Patrick Williams: Yes, Mike. We're still seeing very positive trends. I think the destocking was by application by business, for instance, agriculture. But if you look at overall Performance Chemicals i.e., personal care, home care, et cetera, globally, we're seeing uptick, we're seeing strong order patterns coming into the second quarter. We're feeling like destocking has been put behind us and we're just moving forward. We're finally starting to see the market come back to some normalcy. And we believe that throughout the year, we'll see an uptick continue. Q2 looks very strong to date. 
Michael Harrison: And maybe just in terms of that price mix number in Performance Chemicals, I believe in the past, you had said that, that's mostly mix. And if ag is soft, I would understand where that's affecting mix, but it also sounded like you were saying that raw materials are lower and that's weighing on pricing. Maybe just a little more color there and when you might expect to see some stabilization in that price/mix number in Performance Chemicals. 
Ian Cleminson: Yes, Mike, that was a year-over-year comment. So we are seeing much lower raw material costs now starting to flow through to the revenue lines. There's still a little bit of mix in there. Ag is not where we'd like it to be. As Patrick alluded to our main business in personal care, home care, we're seeing great volume growth year-over-year. And sequentially, we're continuing to see the business expand. So we expect raw materials to stabilize. So we expect that price/mix to sort of flatten out throughout the rest of the year. But we're in good shape going into Q2 and for the rest of the year. 
Michael Harrison: All right. And I guess, for my last question, I understand the commentary that you provided on Q2 in the Oilfield business. But I was just hoping that you could give us maybe some broad thoughts on the full year outlook. The consensus number is $6.75, I know I can't just annualize the first quarter, given what you said about Oilfield. But annualized in Q1 would get you more to a $7 type EPS number. So maybe just help level set us on some of the modeling assumptions that we should be keeping in mind for the rest of the year. 
Ian Cleminson: Yes, Mike, let me take that one. So Oilfield, obviously, we've guided in the comments earlier to a $6 million to $10 million operating income quarter. Our expectation is that in Q3 and Q4, we get back into that $15 million to $20 million operating income range. There's no reason that as we sit here today why we can't do that. So that broadly puts us in that sort of $60 million to $70 million operating income range for the full year in Oilfield. 
Patrick Williams: Mike, just to give an additional color, there is potential, we start seeing some orders in the latter part of Q2. But again, I think, as Ian said, let's stick to the numbers that you've put forth for Q3, Q4 as well. 
Operator: [Operator Instructions] And your next question comes from the line of David Silver from CL King & Associates. 
David Silver: I'd just like to start out with a clarification, I guess, I'm just curious, but in Oilfield, there's kind of a disparity between how the gross margin line performed versus the operating income. Just curious, but you talked about lower margins on the gross profit line, but there was something of a increase year-over-year on operating income. So what between the gross profit? Or how would you kind of characterize that I don't know, those 2 lines on the segment financials kind of going in opposite directions. And is that something that will persist through the year? Or is that kind of just a 1 quarter phenomenon? 
Ian Cleminson: Yes. David, what we're looking at here is that we've had a slowdown in our production chemicals business in the quarter, but the rest of our businesses continue to execute extremely well off the same cost base. So we've been able to grow the revenues, maintain the costs, and that's what's helped year-over-year operating income become higher. Our production chemicals business does attract a lot of service-intensive work. So that is a high cost. So we've just dropped a little bit of our SAR line. And as the production chemicals business comes back, you'll see that SAR line rise a little bit as well. So nothing unusual, just the business is doing well outside of production chemicals, and we're pleased with the results. 
David Silver: No. I admit, when I read it, I had to look at over a couple of times and think about it. So thank you for clarifying that. On the Fuel Specialties side, there is kind of the margin pickup is getting back to that targeted I don't know, 32% to 35% range. Just a couple of questions about that. So would you say that the more recent margin improvement, is that related to the return of jet fuel aviation markets kind of returning more to normal? Or would you say that the margin improvement is maybe -- the margin improvement this quarter is maybe tied to some different end markets or product lines? 
Patrick Williams: No, it's different end markets, David. We didn't have a lot of jet fuel in the quarter. It tends to be lumpy. It's a consistent blocking and tackling, lower raw materials, steady prices in the marketplace, increased volumes. It's a little bit of everything. And we've set a plan years ago to get these margins up and the group has done a really good job. So as we see an increase in avgas, we should see maybe potentially even a low margin uptick there as well. 
David Silver: Okay. And then also sticking with Fuel Specialties for 1 more, but the comment in the press release, and I'm sorry, I'm fumbling with my pages. But it seemed like you did call out a number of growth opportunities in different -- in multiple end markets across the Fuel Specialties portfolio. And I mean, over the last several years, you've definitely launched a number of new initiatives, oceangoing vessel -- I'm sorry, additives and stationary power, et cetera, along with some other opportunities. Which of those or what would you call out as kind of the more promising ones right now that led you to kind of call that out during in the press release. 
Patrick Williams: Yes, Dave. I think it's a combination really of the IMO products and GDI. If you look at a lot of the Eastern European nations, they're starting to use the gasoline direct injection product. And that's been a nice uptake. We've been preaching that for quite some time. And the hope was that it would start getting some legs, and we're finally starting to see that. So GDI's taken off, IMO's taken off in applications outside of fuels had a good quarter as well. So in general, we see some nice tailwinds in this fuels business that we've got to continue to take advantage of. 
David Silver: Very good. One more, if you don't mind, on Performance Chemicals and in particular, on the QGP contribution. So you did call out the sales growth. I was wondering if you could maybe kind of talk about that 6% increase as kind of above trend or right on trend. Just kind of how does that relate to your overall expectations, let's say, for the first 12 months revenue generation from that asset? And then secondly, you did take a small charge, I guess, for adjustments to the contingent consideration related to that acquisition. If I'm interpreting it correctly, I mean, I think that means it's performing at or above original expectations? And if that's the case, I mean, if you wouldn't mind qualitatively talking about what that adjustment contingent consideration was related to? And maybe is there a maximum earnout associated with that, that maybe we should think about? Just kind of framing the contribution from QGP and the implications of the incremental charge you took for contingent consideration. 
Ian Cleminson: Sure, David. So in terms of QGP's performance in the first quarter is exactly on track from a revenue and operating income perspective. What's really pleasing for us is that the business performed exactly how we expected it. But behind that, there's an awful lot of work going on with the integration across our manufacturing, our sales, our finance, supply chain and we see lots of opportunity in that business going forward. And that's going to take us a little bit of time to bring all that together and to see some real growth, but we are very confident that we've made a great acquisition. The people are fantastic. The integration is going really well. As we move through the year into next year, we think we can accelerate that growth. 
 So as we sit here, everything is back on track, which is great. In terms of the contingent consideration, that is the accretion charge going through. That's absolutely expected. There's no changes to our expectations of the earnout right now. But obviously, that will change from quarter-to-quarter. And as the business transitions over the next 2 to 3 years, we'll keep you updated on what that earnout is going to look like, right here right now, everything is on track and looking good. 
Operator: There are no further questions. I will now hand the call back to Patrick Williams. 
Patrick Williams: Thank you all for joining us today, and thanks to all our shareholders, customers and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed today, please give us a call. We look forward to meeting up with you again to discuss our second quarter 2024 results in August. Have a great day. 
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.